Operator: Thank you for standing by. This is the conference operator. Welcome to the Elevate Credit Third Quarter 2020 Earnings Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Daniel Rhea, Director of Public Affairs. Please go ahead.
Daniel Rhea: Good afternoon. And thanks for joining us on Elevate’s third quarter 2020 earnings conference call. Earlier today, we issued a press release with our third quarter results. A copy of the release is available on our website at elevate.com/investors. Today’s call is being webcast and is accompanied by a slide presentation, which is also available on our website. Please refer now to slide two of that presentation. Our remarks and answers will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described on our press release issued today, including impacts related to COVID-19 and our most recent annual report on Form 10-K and other filings we make with the SEC. Please note all forward-looking statements speak only as of the date of this call and we disclaim any obligation to update these forward-looking statements. During our call today, we will make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our press release issued today and our slide presentation, both of which have been furnished to the SEC and are available on our website at elevate.com/investors. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses. Joining me on the call today are President and Chief Executive Officer, Jason Harvison; and Chief Financial Officer, Chris Lutes. I will now turn the call over to Jason.
Jason Harvison: Hello, everyone. And thank you for joining our third quarter 2020 earnings conference call. Let’s start on slide four, where I’ll begin by reviewing the highlights of a quarter. Compared with the last quarter the demand environment remains muted given a combination of factors including the impact of federal stimulus, high levels of consumer savings, and lastly, a conservative approach to credit underwriting by Elevate and the banks we support. As a result of these factors, our revenue of $94 million for the third quarter declined 43% on a year-over-year basis. Also similar to our last quarter, and most importantly, Elevate produce record profitability with net income from continuing operations up over five-fold from last year to $16.6 million for the third quarter. Likewise, our adjusted EBITDA of $40 million was up 61% from a year ago, which represents a margin of 42.3%. We were very proud of our record profitability in such a challenging environment and it speaks volumes to the execution and diligence of our team. The key driver of our profitability was another stellar quarter for credit quality is past due balances now standard just 6% of our portfolio, which is down from 10% a year ago. Best of all, we accomplish this record profitability, while further broadening consumer assistant tools that help customers in the current environment. These tools allow customers to extend and push payments at no additional cost. Before I give an update on credit, consumers and some new development to Elevate let me start with some color on the quarter. First, I’ll begin with context on loan originations and lower APRs, which have led to lower revenues. Similar to last quarter, originations to new customers were modest and just over 8,000 across each of the three U.S. brands. This is down approximately 84% from last year, and as a result, our combined loans receivable principal balance ended the quarter at $377 million, which is down 36% compared to a year ago. APRs decline across the portfolio as well, driven largely by consumer-friendly deferral programs. Portfolio wide APR was 96% for the quarter, compared to 113% for the third quarter of 2019. This decline was primarily driven in the rise portfolio for APRs are 101%, compared to 126% a year ago. This is clearly a win for consumers and demonstrates our commitment to lower rates, especially through tough times. The pace of decline in APRs has slowed on a sequential quarter basis. They’re down just 5 percentage points from second quarter. This stabilization is happening commensurate with the lower use of different customers, which we’ll touch on in a second. The key takeaway here though, is that while our revenue has declined with lower originations and lower APRs is related to customers. The power of our model has never been more evident as we have maintained our ability to grow as loan demand returns and I’ve driven significant profitability in a challenging environment. On the back of those comments, let’s talk about credit and consumers as they’ve been a significant driver of that profitability. First, on credit, I detailed a few the highlights, but for some added background, I want to dig in on why charge-offs and low performance has been as good as they have. You’ll recall from last year that Elevate undertook a top to bottom overhaul of our credit models on the heels of our FinWise partnership. Before the overhaul we identified opportunities in our underwriting, mainly within the non-DM channels. For loan originated via direct mail, our approach was sound, but the volume opportunity via credit partners drove us to conduct a rigorous review and rebuild of our models. I mentioned this because we believe that much of the improvement in credit we have achieved this year, we can directly attribute to decisions made in our modeling, as opposed to simple risk aversion or tightening of the credit standards. This is a critical point and one that gives us a lot of confidence about the models we have built. Clearly, this isn’t the way any of us would have liked to see the year ago, but to have our credit model validated and battle tested in such an extensive way is highly encouraging as we think about returning to a market where demand is rising. With that, let’s turn to slide five and let me give you an update on consumers and what we were seeing on the ground. In summary, consumers for the most part continue to exhibit resilience and responsibility. Saving rates remain higher than usual, which is good for existing borrowers but also serve as a headwind for new originations. That said, what’s most encouraging is that non-prime consumers have become increasingly competent in their employment. Obviously, this is an important factor in the ability to extend credit and while we aren’t out of the woods on COVID, we know that businesses across the country have found ways to retain employees and improve topline trends as well. This is an encouraging sign for us as we think about how demand may trend in 2021. Additional fiscal stimulus is the key variable in the short-term, we expect demand remain muted for 2020, as we mentioned on our previous call. That said, even with additional stimulus, our current expectation is the demand likely bottoms for the near-prime borrowers in the first quarter of 2021. The key takeaway here is that with our optimized credit models, the relative health of our customer set and our liquidity position, we believe that Elevate has never been better positioned for growth. Before I move on, while we can’t control demand, we are serving consumers broadly. First, we are expanding channels and geographies. On the underwriting side, the new models have allowed us to expand our target market both up and down the credit spectrum. On the application side conversion rates and flow processes have improved immensely with a new technology stack that we have implemented. Ultimately, we feel we’re prepared to be in front of as many customers as possible when demand returns. Before I turn the call to Chris to detail our financials and speak to the balance sheet, I’ll turn to slide six to hit on a few developments over the quarter. First, we’re pleased to report that we continue to expand the RISE brand. An additional bank has licensed our technology in new markets and further diversifies our brands. The second development is that we have combined our product and bank relationship teams under one platform. Ultimately, the two functions go hand in hand and with the recent promotion of Scott Greever to be our Chief Product officer, we believe there’s opportunities to draw strategic improvements and efficiency in the future. Congrats to Scott and we’re excited to have him leading the team. Lastly, as I noted at the start of our call, our team at Elevate has gone above and beyond this year and we owe our success to a lot of hard working people. It is for that reason that we are most proud of Elevate’s recognitions for the fifth consecutive year as a great place to work. On behalf of the management team at Elevate, I’d like to personally thank our employees for making your company even greater in a year that has been anything but. With that, let me turn the call to Chris to speak on our financials. Chris?
Chris Lutes: Good afternoon, everybody. Jason and I have been in this industry for over 14 years and we have never experienced such strong credit quality and low loan losses as we did this past quarter. While customer loan demand continues to be weak resulting in decreasing loan balances and revenue, loan losses have dropped a historic lows resulting in record quarterly gross profit and net income for the company. Turning to slide seven. Combined loans receivable principle total $377 million at September 30, 2020, down 36% from a year ago. These amounts exclude the U.K. Sunny loan balances which are now part of discontinued operations. While the year-over-year decrease is rather dramatic, we believe we’re at the bottom of the drop in loan balances. Looking at the sequential quarter-over-quarter decrease, combined loans receivable principle were down 9% at September 30, 2020, versus June 30th of this year, while they were down 25% and 9% at the end of the respective second and first quarters of this year. From our perspective, the additional liquidity provided to consumers through the various stimulus programs enacted to-date has slowed and average customer checking account balances have returned to normal levels. At the product level, RISE loan balances totaled $216 million at the end of the third quarter of 2020, down $112 million or 34% from $327 million a year ago. Our RISE California loan portfolio accounted for almost a third of that decrease, as the portfolio in that state dropped to $20 million at the end of the third quarter of this year, a decrease from $54 million a year ago, as we stopped lending in that state at the beginning of this year. We expect the majority of that loan portfolio to continue to pay down over the next six months. Elastic loan balances at September 30, 2020, totaled $153 million, down $101 million or 40% from a year ago. Customer multi-draw activity or line utilization for Elastic customers continues to be low. Idle customers, those with no active balance have increased from 24% pre-COVID to approximately 40% at September 30, 2020. Staying on this slide, revenue for the third quarter of 2020 was down 43% from the third quarter a year ago. For the RISE product revenue decreased $45 million or 44% in the third quarter of this year versus prior year. Roughly two-thirds of the revenue declined for RISE resulted from a drop in average loan balances, while the remainder related to a decline in the effective APR of the RISE product, which declined from 126% in the third quarter a year ago to 101% in the third quarter of this year. The APR was impacted by both the lack of new customer loans, which typically have a higher APR than more seasoned customers, as well as the impact of adjusting the effective APR for customers that have deferred payments on their loan balances. For Elastic most of the decline in revenue resulted from the decrease in loan balances I just discussed. Looking at the bottom of this slide, both adjusted EBITDA and adjusted earnings are up significantly on a year-over-year basis. While topline revenue was down year-over-year, our gross profit and operating income for the third quarter of this year increased $18 million and $16 million, respectively, from a year ago. Despite initial concerns related to COVID, credit quality has never been better resulting in much lower net charge-offs and total loan loss provision versus the prior year quarter. Additionally, we recently implemented an operating cost reduction plan, which resulted in several one-time expenses in the third quarter of this year. While operating expenses totaled $37 million in this third quarter, excluding these one-time items the normalized operating expense amount would have been $33 million and we expect the Q4 run rate for operating expenses to be around that normalized amount. Combined, this resulted in adjusted EBITDA totaling $40 million for the third quarter of this year, up 60% from the prior year quarter. Adjusted earnings for the third quarter of 2020 totaled $17 million or $0.42 per fully diluted share, compared to $3 million or $0.06 per fully diluted share a year ago. Net income for Q3 of this year totaled $21 million or $0.52 per fully diluted share and included a $4 million gain from the U.K. discontinued operations due to an increase in the expected tax benefit from the write-off of that entity. This compares the net income of $5 million or $0.11 per fully diluted share in the third quarter a year ago. Adjusted earnings for the first nine months of this year totaled $46 million, more than doubling adjusted earnings of $22 million for the first nine months a year ago. Turning to slide eight, the cumulative loss rate as a percentage of loan originations for the 2019 vintage continues to be the lowest ever with the new generation of risk scores and strategies that were rolled out in 2019, performing much better than the 2018 vintage, which remained relatively flat with the 2017 vintage. The year to date 2020 vintage is even better after layering in the tightened underwriting and customer liquidity from the stimulus payments. On this slide, we also show the customer acquisition cost. There were minimal new customer loans and marketing expense in the third quarter of this year. When customer loan demand picks up again in future quarters, we expect our CAC to continue to trend between $250 and $300. Slide nine shows the adjusted EBITDA margin, which was 42% for the third quarter of this year, up from 15% in Q3 a year ago. Almost all the increase in the adjusted EBITDA margin resulted from lower loan loss provision. As we disclosed last quarter, our U.K. operations was placed into administration on June 29, 2020, which is the U.S. form of bankruptcy. All current year and prior year U.K. numbers in our press release are now disclosed as discontinued operations. At September 30, 2020, the remaining U.K. debt was completely repaid to Victory Park Capital, and there is no remaining liability associated with our U.K. operations. We were able to record a U.S. deferred tax benefit totaling approximately $27 million related to the loss on our investment in the U.K. We will utilize this net operating loss in future years as we continue to generate taxable income in the U.S. While we don’t have a slide, let me spend a minute discussing the loan loss reserve methodology and how the reserve is determined for customers that are using payment flexibility tools that we previously discussed, such as deferring loan payments. We did not have to adopt CECL at the beginning of the year, so the loan loss reserve methodology has remained unchanged in 2020. Loss factors are calculated by product and by delinquency status and consider historical data such as the number of successful payments the customers made. For customers that have deferred payments, the loans do not continue to ages past due, while their payment is in deferral status. But this bucket of loan balances is monitored separately to determine if additional loan loss reserves are needed in addition to reserves generated under the normal methodology. Additionally, the effective APR for RISE installment loans is lower to account for the longer duration of the loans, as interest continues to accrue during the deferral period at that lower effective APR. For Elastic lines of credit, no fees accrued during the payment deferral period. At September 30, 2020, loan balances with deferred payments totaled $39 million or 10% of combined loans receivable principal, down from $51 million or 13% of combined loans receivable principal at June 30, 2020. Now, let me discuss the remainder of fiscal year 2020. While we are not providing revenue, adjusted EBITDA or net income guidance for the remainder of this year due to uncertainty caused by COVID and the potential next round of stimulus, we can provide some high level thoughts. The biggest uncertainty from our perspective is when consumer loan demand picks up again, which impacts forecasted revenue, loan loss, provisioning and marketing expense for this year. We expect marketing expense will be down materially in the fourth quarter of this year compared to a year ago. Loan originations will probably be at 50% of prior year levels at best in the fourth quarter of this year. As a result, we expect revenue in the fourth quarter of 2020 will be down versus a year ago by roughly the same percentage as in Q3 of this year. However, we do expect loan balances to remain flat to slightly up at the end of this year, compared to the end of Q3 of 2020. We expect loss rates in the fourth quarter of this year to trend up slightly versus the third quarter of 2020 due to increase loan origination volume in the fourth quarter. Operating expense levels for Q4 2020 will be flat with the normalized Q3 2020 operating expense level of $33 million to $34 million, I discussed earlier. Turning to liquidity and capital, one of the positives of our business model is the short-term nature of the loans. On September 30, 2020, there was over $225 million of cash on our balance sheet. Most of this cash supports the VPC debt, the total $440 million at the end of the 2020 third quarter. In early 2021, we expect that we will use over $100 million of this cash to repay Victory Park Capital debt as part of our Q1 revolver and the sub-debt that is maturing. This will result in lower interest expense in fiscal year 2021 and reduce outstanding debt down to approximately $330 million. Given the lower loan originations to customers, there is no need for additional debt for the next few quarters. All debt facilities were in compliance with their covenants at September 30, 2020. Lastly, I would like to briefly discuss the common stock repurchase plan authorized by our Board in February of 2020. We believe this use of capital at the current stock valuation is compelling from a return on capital perspective. During the first nine months of 2020, we repurchase $15 million of common shares under this repurchase program, in accordance with our existing plan. This represents a 14% reduction in common shares outstanding since the beginning of 2020, we have an additional $10 million in remaining availability under this plan for the fourth quarter of 2020 and we will probably continue to repurchase shares in fiscal year 2021 under this plan upon an expected increase in authorization by the Board before the end of this year. With that, let me turn the call back over to the operator to open it up for Q&A.
Operator: Thank you. [Operator Instructions] First question comes from David Scharf with JMP Securities. Please go ahead.
David Scharf: Thanks. Good afternoon, everybody. Thanks for taking my questions. Hey.
Jason Harvison: Hi, David.
David Scharf: The several things I want to follow up on. The first, you had made a comment in the prepared remarks that, you felt that balances probably bottomed out. Chris, your year-end guidance suggested that balances will be closing out the year hopefully above September 30th. Can you just give us a sense for sort of what’s driving the conclusion that, you’ve probably arrived at the trough? I mean, is it just sheer volume of credit applications? Is it the quality of the applications you’re seeing? Is it a new bank partner? What kind of get you to sort of the comfort level that the trough is in the rearview mirror?
Jason Harvison: Yeah. David, this is Jason. That’s great question. Yeah. I think there’s a handful of things that we’re seeing that give us some confidence out there. I mean, one, we have opened up some additional channels either for our portfolios or for the banks that we support, mainly on the partner side, where they drive traffic to the site. And that’s allowed us to open up the funnel a little bit more at the top. So while demand might not be as strong as it was this time last year, we can cast that net a little bit more broad. Plus we’re seeing multi-draw activity at [inaudible] and refinance activity, consumers start to pick back up. It’s still not levels we saw a year ago, but at levels that we feel like between the expansion of channels, some expansion on geographies and what’s the underwriting models out there that we should be hitting that trough here in Q4. Now the one thing that I thought I’d point out is remember how this industry works. In the first quarter, we see the seasonality of the tax season. So we’ll still see that come up in the first quarter. But we feel like we’re seeing that demand start to come back here in Q4, we’ll go through the tax season in Q1 and then hopefully back to business as usual in Q2.
David Scharf: Got it? Got it? No. That’s helpful. And maybe just as a follow up, can you give a little more color on maybe some of the kind of broad outlines of the new bank partnership? I mean, is this specific to entering a particular geography? Is it taking away some value from the existing partner or is it purely additive o is it different product?
Jason Harvison: It’s -- it -- yeah. David, and generally -- in general, it’s additive. It’s expanding with one of the banks we currently work within two, three new geographies that we feel like will give them a more flexible product for consumers and expand the offering there. We think it’ll help from -- on the balance side, particularly on the RISE portfolio and three states there. The three states are Texas, Tennessee and Kansas. So we’re excited about working with the bank and pushing that for them to serve longtime consumers.
David Scharf: Got it? Great. Thank you.
Operator: The next question comes from John Hecht with Jefferies. Please go ahead.
John Hecht: Thanks very much, guys. I know it’s real early on. And then -- yeah, maybe things aren’t totally settled here. But you’re the first companies reported post-election. And I’m just wondering if you guys have kind of any high level thoughts on just what to expect in that regard with respect to the potential regulatory framework changes and any kind of activity you might expect in that level?
Jason Harvison: Yeah. John, I think that’s the question most everybody has out there. I think the way we’re approaching it right now, is that if things continue to play out as they look like they are, you are going to end up with a divided government, which, a bipartisan government, hopefully doesn’t mean there’s anything actually one for -- actually for one way or the other, which we think is good. Obviously, in the last few months, you’ve seen some good progression on things out of the FDIC and OCC, we’re hoping that that continue. I mean, I think you’d be saying, anytime we can get clarity, and how banks can serve consumers, I think that’s a good thing. It’s going to be a little bit of a wait and see, but we’re hopeful that and competent that, with -- what we’ve been able to do over the last 10 years to 15 years with our online platform, we’ll be able to adapt to whatever changes come through. We were one of the only companies to support what the CFPB did back under Obama on the small dollar rules and thought there were some really good points in there on affordability and things like that. So, we’re waiting to see exactly how it all shakes out. But, we’ve been in this space for quite some time and broke off in our abilities and a platform be able to adapt.
John Hecht: Okay. And then you guys did talk about the -- your loan applications, I mean, the application trends and loan demand and your thoughts there. What about the yields? I mean, given the deferrals loan demand, the type of mixture underwriting for us, when do you think yields will pivot back up from where they are now?
Chris Lutes: Yeah. Hi, john. It’s Chris. On the Elastic side, there is small drop in the effective APRs just literally due to the payment flexibility tools. And as we booked some new customers and those stable out we will return to normal. It’s more on the RISE side where we saw a more dramatic drop over the past couple of quarters and I would say about two-thirds of that drop is due to the lack of new customer loan origination. So when I look at my longer term preliminary model for next year, it’s probably towards the third -- I mean, we’ll continue to see gradual increase in that APR in Q1, as we start to book new customer loans definitely in Q2, Q3, and probably, will be late Q3 early Q4 of next year, when we see that RISE kind of average effective APR return into the 120% plus range. So it won’t take much longer than a year from now.
John Hecht: Okay. That’s helpful. Chris and do you -- are you able to tell us, I mean, obviously, we can see your allowance level as a percentage of the portfolio. Can you either tell us or maybe give us a frame to think about what’s the specific reserve you might have for the remaining deferrals? How do we think about that?
Chris Lutes: I think we’re pretty conservative. It’s 50%.
John Hecht: Okay.
Chris Lutes: So, yeah, we…
John Hecht: Okay. That’s great. Thank you.
Chris Lutes: We reserved of the $0.50 on the $1 for the deferred loan customers.
John Hecht: Okay. That’s helpful. And then last question for me is, you mentioned new geographies. What can you tell us about that and the -- any kind of details around where you’re going with the different products?
Jason Harvison: Yeah. John, with -- the three geographies we added. It’s an installment loan product offered through one of the banks we work with. And the nice thing there is the banks offering a much higher line product with a lower APR. So I think it’ll help you to make some good balances. We’re excited to help them partner to get that back to market. It’s still pretty early as we look out in 2021 and beyond of what other products look to take the market. We have some things on the drawing board that we were looking at this year. Obviously, this -- in this August we appear to bring something new to market. So I’d say, CBD on other products we’re going to bring out but there’s definitely some exciting things we’re looking at both from a product structure standpoint and from a channel standpoint, and how we think we can open a few things up with some strategic partners in the future.
John Hecht: Okay. And with respect to the new geographies, I mean, can you just give -- can you characterize them? Are they high? Are they densely populated? Are they smaller geography? Yeah, any just characteristics to share there?
Jason Harvison: It was -- the three states were Texas, Kansas and Tennessee, so.
John Hecht: Okay. Great. Appreciate that. Thanks, guys.
Operator: [Operator Instructions] The next question comes from Moshe Orenbuch with Credit Suisse. Please go ahead.
Moshe Orenbuch: Great. Thanks. You did refer in the press release to kind of changes in the model and some of your discussions and that driving some of the improvement from a credit quality perspective. Could you talk a little bit about what those changes were like, what sort of things happened, did that also have an impact on originations and how do we think about that kind of as we -- as you kind of roll through the next into 2021.
Jason Harvison: Yeah. Yeah. Moshe, I mean, we started working on revising our models back in late ‘18, early ‘19. And probably one of the biggest things we were looking at is consumer bank transaction data. And the idea was to be able to see cash inflows and outflows and make a better credit and affordability determination on the consumer. And the original plan was to use that for consumers, we couldn’t get enough clear information on and help expand who we could underwrite or work with banks to underwrite. And so we had those models developed and ready to go for 2020 and what worked out fairly well is when COVID hit and the bureau information that you traditionally get might not be as predictive as in the past, the cash flow information that we were able to obtain on consumers helped navigate, like, I said, accessing that credit performance and affordability. And so on the portfolio’s we originate and the banks have also adopted using some form of bank transaction data in their underwriting to help better assess considering. So I think that’s going a long way forward and we’ll see that be part of the models on a go forward basis. But I think the other thing that happens is, we’ve always focused on flexibility within the products to help with consumer outcomes. And I think when COVID hit at the beginning of the year, we already had some pretty good deferment tools built into our products. But we were also able to fast track some additional flexibility tools in our products and in the platform for banks. And I think what we were able to do is really match up great solutions for consumers that might have had a financial hiccup and we don’t see that as being something that will go away in the near future. We think that’s a long-term structure is going to be in our platform and it will be 4 basis and I think it just helps consumers navigate if they have any other type of challenges if they’re using one of the products.
Moshe Orenbuch: Got it. Thanks. And kind of a separate question. One of the things that’s going to be really unusual about this downturn recession, whatever you want to call it, is obviously the -- is the front end of it, credit losses are actually substantially better. And then at some point, they will kind of season and maybe could you just talk about two separate things. Number one, like, how do you think that seasoning impacts your losses and then separately, how will that impact the P&L? In other words, how much of that would already have been reserved, given the way that you kind of set up your reserves?
Chris Lutes: Yeah. This is -- hey, Moshe. It’s Chris.
Moshe Orenbuch: Hi, Chris.
Chris Lutes: We generally try and look out almost a full year in terms of setting up loan loss reserves. And as with John’s question too regard to how much we’re reserving against deferred payments customers that are using the payment flexibility tools, I mean, I mentioned 50%, which I feel is conservative, because we’re typically seeing around a roughly 60% to 70% success rate and customers making those payments and those that don’t end up deferring again or if they go into like a past due collection status, we still typically are seeing roughly 50% cure rate. So I think that -- from a reserve standpoint, we’ve done a really good job of trying to be conservative within the underlying GAAP methodology to cover losses looking out over time. And I think the payment flexibility tools have also allowed our customers to kind of weather short-term storms. And again, I think, one of the benefits, as I mentioned, in my script is, these are short-term loans and so you don’t have to…
Moshe Orenbuch: Correct.
Chris Lutes: … go out two years, three years, five years and these are ones where you generally know pretty quick, what are good customers and what are bad. And Jason and I’ve been in this industry long enough, we know that a lot of the -- a lot of losses are generally related to new customer loan originations. And I think the fact that loan demand has been so weak over the past several quarters as a result of this, tells us that there probably isn’t, I’d like to think not going to be nearly as much pent up loss in the existing portfolio is what you might see in credit card or other longer term forms of debt.
Moshe Orenbuch: Got you. Thanks.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jason Harvison for any closing remarks.
Jason Harvison: Well, I’d like to thank everyone for joining us this evening. I do want to reiterate that I do feel confident that here at Elevate we are well positioned of demand for us to return, with the new channel, geographies, stronger underwriting and the new application flow process we put in place I think look forward to step on the gas when the market conditions are right. So with that, I’d like to thank you again for joining us and as always like to thank Elevate team for all that you do to help serve longtime consumers. Thanks so much and we’ll talk to you next quarter.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.